Lauren Hering: All right. Good morning, everyone. Welcome to the MCN webinar for the fourth quarter of 2025. And I will pass it over.
Kimberly Flynn: Great. Thank you, Lauren. I appreciate you getting us going. And thanks to Ray and Drew from Madison joining us today on the webinar. We're here to talk about the fourth quarter of 2025 for MCN, which is the XAI Madison Equity Premium Income Fund. And we're joined as we normally are on these quarterly webinars by our portfolio managers. And we'll cover a few housekeeping matters, and then we'll turn things over to Ray and Drew to talk about performance for the fourth quarter. So maybe we'll go to the next slide. Just a note in terms of we always cover some forward-looking matters, and we also cover past performance in the presentation. And as you know, past performance does not guarantee future results and any forward-looking statements are speculative in nature. Now with respect to the webinar, we love questions. So at the bottom of your tool bar, there's a Q&A function and you can type a question anonymous or not, and we will take questions along the way and then spend a little bit of time at the end addressing questions. So make sure to use that functionality and drop a question at any point. We do have some prepared Q&A that we'll cover with the group before we get to the audience Q&A. So really a pleasure to be working with Ray and Drew, the portfolio managers for Madison Investments. Ray has been a portfolio manager and part of MCN since the fund's inception in July of 2004. And we love to hear from Ray and Drew in terms of the insights, what they're seeing in the market. There's been a lot of volatility in the equity market more recently. And hopefully, Ray and Drew can address some of that today with the audience. My name is Kimberly Flynn. I'm the President of XA Investments, one of the founders and spent a lot of time on product management. So it's great to be in front of investors. If you have questions after today's webinar, please reach out to me or my colleague, Lauren, and we can get that information for you. Just one recent update that I wanted to cover on the webinar. My colleague, Lauren spent a lot of time working with the Madison team to publish a white paper, and that was published just a few weeks ago. So I wanted to make mention of that. So it goes into covered call investing. And if you're new to covered call investing, take a look at that white paper on the xainvestments.com website. And if you would like it, we can also push it to you by e-mail. So let's go ahead now. I just want to cover performance and let's focus on 2025 performance. The fund ended with a NAV return of $9.92, strong relative to the BuyWrite Index, which is the fund's benchmark, which ended at $8.91. And furthermore, we think that navigating the sort of volatile markets in 2025, subsequent to the Independence Day and a number of the events that roiled the equity market, we're very pleased with the NAV performance that the Madison team put up. And I think it showcases the benefit of a covered call strategy in a volatile equity market. So thanks to the team for another strong year of performance in an up and down equity market. Let's see. Maybe we could now turn to Ray. And if you could talk about the performance and some of the main drivers of that performance in 2025, that would be great. And Ray, if you wouldn't mind commenting on the active management style that you've always used in managing MCN's cover call strategy and maybe how that contributed to performance in 2025, that would be great as well.
Ray Di Bernardo: Yes. Sure, Kim. Hi there, everybody. Thanks for joining us. We appreciate it. Let me step back and look at what's been happening over the last year or so in the markets. things seem to be changing right now, but the environment that we have where we have been very defensively postured in the fund partly in the middle part of the year was kind of counter to what was happening. So as you noted earlier in the year, we had a lot of volatility in the early part of the year, January and February, the markets were continuing to move higher as they did in 2024. So the mega cap rally that drove the markets for most of '24 continued in the early stages of the year. Then we had some jitters around tariffs and kind of mid to late February through most of March, the markets took a pause and came down somewhat 5% or 6%. But then we had that Liberation Day volatility in the first week of April where the markets really dramatically went down, but then recovered very, very quickly. So you had a significant amount of volatility. And from that point on, the markets really took off again led by the same factors that were leading them in 2024, primarily mega cap growth stocks and anything tied to artificial intelligence. So from the bottom of the market in April through the end of the year, the S&P 500 rallied 40% or so. So it was pretty much a straight up market for most of the year with the exception of that kind of tariff hiccup in March and early April. The influence of the Magnificent 7, those mega cap growth stocks really had a big impact, and it was a very narrow market for most of that middle part of the year. That started to change a little bit in the fourth quarter. So Magnificent 7 stocks, the big companies still had a positive influence, but it was really spotty. And you had Google up 29% during the fourth quarter. But you also had some stocks that didn't perform nearly as well. You had Amazon down somewhat, Microsoft down, not really consistent performance as we've seen in 2024 and the summer of 2025, where virtually, all of these stocks were really taking off to the upside. So if it wasn't for really that strong performance out of Google, the Magnificent 7 or the mega cap growth stocks would not have had such a big influence. But they still had an influence. The market was up 2.7% in the fourth quarter. The Magnificent 7 stocks were up 4.5%, primarily because of Google. Now the fund hung in there very, very well. It was up in line with the market. Actually, we technically outperformed by a couple of basis points. So we'll take that. But it was a pretty strong market with some added volatility, and that helped us perform in line, and we were pleased with that. Leadership changed a little bit in the fourth quarter as opposed to earlier in the year where it was a very narrow group of companies driving performance. Things broadened out in the fourth quarter. Health care was the top-performing sector rather than those sectors that had the Magnificent 7 stocks such as technology and communication services and consumer discretionary. They were not among the top performers, they were in the middle of the pack. And it was really health care. Communication services did okay because of Google on its own because it's such a large piece of that sector. But really, it was a bit of a changing of the guard. And we've seen that even get even more pronounced in the early part of 2026, where you've got real asset sectors like energy and materials really driving performance, and consumer staples early in 2026, and that's something we just didn't see in the last 2 or 3 years. So we were, in terms of active management style, we've been defensive for quite some time. We've been underweight some of those high flying Magnificent 7 sectors, and we were early in getting defensive. So we didn't participate as much in the middle part of the year, but then we started to participate more in the fourth quarter. And definitely, in the first 6 weeks of 2026, it's been -- the performance has been very, very strong for the fund relative to the S&P. So the leadership seems to be changing. We'll see if this continues throughout the rest of the year, and we'll talk about our outlook in a little while. But I think the active management kind of worked against us earlier in the year, but it's starting to work for us again in the fourth quarter and moving into the new year.
Kimberly Flynn: So Ray, let's talk about the top 10 holdings. And what, if any, notable changes were made in the top 10 for the quarter ended December 31?
Ray Di Bernardo: Yes. It wasn't a significantly active quarter in terms of trading. Covered call writing, particularly when you're utilizing single stock options can lead to a lot of trading around option assignments. That did impact the top 10. The most notable change was Las Vegas Sands, which was our top holding for quite some time. We allowed to get called away in November. We still love the company. We've since then started to rebuild the position back into the company. But what happened during the quarter was they had a really blowout earnings announcement driven by really strong performance in their Singapore Marina Bay Sands group. And the stock went from $27 to $65. So we had a significant short-term move higher. And we allowed the stock to get called away into that strength. We thought that it moved very quickly in a short period of time, and we may have an opportunity to repurchase at lower prices, and we have done that and started to rebuild the position. So we still own Las Vegas Sands. It's a smaller position, and we're going to look to rebuild that to a bigger position as opportunities arise. So that's probably the biggest, most notable change that we've seen. Now that moved Danaher to the top of the heap in terms of the #1, the single largest holding, a few basis points ahead of AES. Danaher has been a long-term holding, and we followed Danaher for many, many years. It's one of the highest quality, best-in-class diversified life sciences companies out there. It's essentially a conglomerate of individual companies in the biotech services, life sciences and diagnostics area. Kind of similar to what Berkshire Hathaway does and going out and buying really, really good companies and letting management continue to run them, it does a similar thing. They've got an incredibly strong track record of making acquisitions for many decades. But then they also incorporate what is called the Danaher Business System on top of these acquisitions to help managements get even better performance going forward. And it's really just a set of tools and core business principles that underpins everything from client focus to inventory control to manufacturing processes and along the line and it takes pieces out of other systems like the Japanese kaizen system or the Six Sigma system, which came to prominence under Jack Welch at General Electric many years ago. And it incorporates all of that just to give management teams additional tools to enhance returns, and it's been highly successful. And as a result, Danaher generates a lot of free cash flow. When it makes big acquisitions, it's then able to pay down any debt that comes along with those acquisitions very quickly, gets to a point where their balance sheet is in really good shape again and then looks to make further acquisitions with that. And their track record is really stellar in that -- in the M&A space. So we have a lot of confidence in the company, their balance sheet now. Since they haven't done a big acquisition since 2020, when they bought GE Biopharma Group, they're really in a position now where most of that has been paid down, their balance sheet is phenomenal, still generating cash flow and they potentially have the ability, if they find the right fit, to make another fairly sizable acquisition. So Danaher, we think, is an attractive holding. AES being the second largest holding is in utility. It's a regulated and a unregulated utility that we've owned for some time. It's really a story that goes back many years. They used to be known as a serial acquirer of any generating capacity anywhere in the world. So going back 15 or 20 years, they had operations in 28 different countries. But about 15 years ago, they came under new management. They refocused the business, started selling off pieces that didn't make sense, got their balance sheet in much better shape and started to transition from just a regulated utility to having an unregulated portion, which is essentially renewable energy through solar and wind. And they're one of the larger generating companies in renewable assets in the country. They've gone from mainly being international to having around 50% of their revenue in the U.S. So again, a refocus in geographical areas. And they ran into -- their stock has been relatively volatile over the last year because some of the subsidies that were allocated to the renewable energy space have been removed or changed. And so we've gone through that process. And now because the valuation of the company is so reasonable, it's attracted some acquisition activity. And there's been fairly recurring rumors that a big player in the infrastructure space, the most recent one is BlackRock and their global infrastructure partners potentially making a bid for the company. So we're just going to wait to see what plays out with that. So we keep AES near the top of the list. I guess the only other one that I would talk about right now there's a change is Transocean Energy really moved into the top 5 holding position. Transocean is a deep sea driller in the oil and gas sector. The reason it popped into the top 10 isn't because we bought more of it, it's because the stock was up 32% in the fourth quarter. And it is really almost a monopolistic company in ultra-deepwater and harsh environment drilling. And they've got all -- the cycle has come back to it in terms of the oil and gas cycle. Demand, as we know now, is going to continue to grow probably at least to 2050, whereas many out there for many years have been considering that we're at peak oil demand around now. That's clearly not the case. And it's getting harder and harder to get oil discoveries onshore. So more and more companies are looking offshore. And if you want to go to deepwater, you have to go to a company like Transocean because there aren't any others that can go as deep and with the newest technology. There are no more drillships being made. And so the fleet is pretty much set. And so there's no supply of drillships. So the pricing is really in Transocean's favor. As long as the oil market stays robust, which we expect it will and continue to get even more robust, Transocean will continue to dominate. In fact, after being up 32% in the fourth quarter, it's up another 55%, I believe, in so far this year. They most recently, just a few weeks ago, announced a merger with Valaris, which was another deepwater driller. So they're expanding their reach to be the largest global deepwater driller. So we have market leadership. We have significantly improving cash flow and again, market dominance in a fairly specialized sector. So -- and across the board, some of the things we look for, free cash flow generation, market leadership, best-in-class, those are the kind of things that we see in kind of all of these companies that I've mentioned. So we're going to keep focusing in those areas and continue to make our -- take our largest positions in areas that we feel the most -- have the most opportunity and feel most comfortable with.
Kimberly Flynn: Thank you, Ray. I mean I really enjoyed learning about the Danaher business system. I had not really heard much about that company before. So it's really interesting, their approach to M&A and integration. And wow, I mean, Transocean has been on fire, it sounds like, the last few months. I'm going to pivot now and talk to Drew. But before we leave Slide 8, I just want to mention something that it's actually in a footnote. And we don't commonly call people's attention to the footnotes, but this is a good point that I want to make, which is that you'll see the distribution rate on the fund's NAV is about $11.13. Distribution rate on market price is 12%. For the fiscal year ended 2025, the fund's distribution was comprised entirely of net investment income. There was no return of capital. And we understand that in the listed closed-end fund space, closed-end funds used varied approaches to distribution and distribution policy. So we thought we would address that upfront. And now if we can turn to the next slide, Slide 9. I'd like to just bring Drew into the conversation. And we did switch the fund's distribution from quarterly to monthly to line up with preferences of shareholders. But Drew, how does the change, you think, benefit investors? And what do you think about preferences regarding distributions in a listed closed-end fund when the fund itself, MCN, the objective is income. What are your thoughts?
Drew Justman: Kim, thanks for the question. It's nice to be with everyone this morning. Most investors in MCN and covered call strategies want income. And we found that monthly distributions can help improve the cash flow smoothness and flexibility. And importantly, it doesn't change the underlying day-to-day portfolio management of the fund. In terms of the frequency, we think investors prefer getting paid 12 times a year instead of 4 times as that can better match ongoing expenses. There's better cash flow control. You can redirect it to new investments or portfolio rebalancing. In general, we just think investors prefer the more paycheck-like effect of monthly distributions.
Kimberly Flynn: Yes. I think that's true, Drew. And I think it's benefited the fund in terms of -- most of the closed-end funds have shifted from quarterly to monthly. It used to be a lot more common to have quarterly, but I think those preferences that you mentioned are very strong, and that will help with secondary market support going forward. Let's talk a little bit about covered call strategies in sort of varied equity markets. I know, Ray, you've already talked about some of the volatility that we observed in 2025. And so the question is, how does changing market volatility impact what you do on the option writing side? And maybe you could give us an example.
Ray Di Bernardo: Yes. volatility, obviously, is a constantly changing thing in terms of dealing with the option market. We -- because this fund has been around since 2004, we've dealt in many, many different types of volatility environments from ultra-high volatility around the great financial crisis and any time the market has gone down significantly, volatility tends to move significantly higher. Obviously, as we are sellers of volatility because we're sellers of call options, we benefit from higher prices on call options when volatility spikes. However, we've also managed through periods where volatility was extremely low. And I think back to a year like 2017, where the market did nothing but go straight up with virtually no hiccup along the way. And the VIX index, which measures the S&P's short-term volatility, trended around 10%, which is historically low. But we were still able to generate option income, obviously lower than a higher volatility environment, but we are still able to generate more than enough to cover the distribution. And in that kind of market, when markets are going up and volatility is low, more of our distributable income comes from the underlying portfolio. So we let stocks get called away because the market is going up, we generate more realized capital gains. That becomes distributable income, and that offsets the lower volatility impact of lower option prices where we're not maybe getting as much option income. In a higher volatility environment, typically when markets are going sideways to lower, we get less opportunity to sell stocks and realize capital gains but we have higher volatility and higher option prices, and that offsets that as well. So we have 2 kind of countervailing forces depending on what kind of market environment. High volatility markets, we're going to get more option income opportunity, low volatility markets, we're going to get more realized capital gain activity. And that allows us to maintain a relatively stable, consistent income flow regardless of what type of environment we're in. 2025, we've seen a little bit of everything. We had low volatility at the start of the year because the markets were continuing to move higher. Then we had that period in March and April where volatility spiked, but it was really short-lived for most of the rest of the year through kind of the end of October low volatility environment, and then we had some spikes of volatility, so smaller spikes in November and December. And at the end of the year, we settled back into another low volatility environment. So far in '26, volatility has picked up because the market has been more choppy. And so we benefit from that on the option side definitely. But again, it doesn't really matter to us which environment we're in because we're able to generate distributable income in any environment.
Kimberly Flynn: Well, I think, Ray, I mean, you've just described the rationale for covered call strategy. So maybe you stole some of Drew's thunder. But I'll go to Drew. So in today's market, in 2026, can you talk with us about why investors may look to covered call strategies and the benefit that having a covered call strategy in the portfolio today can bring?
Drew Justman: Sure. Yes, Ray mentioned the benefit of as implied volatility rises, that impacts option prices and increases the call premiums we get by writing options. So there's an income benefit to more volatile markets. And that income helps protect on the downside. The premiums we received help lower -- or provide protection in tough market environments. And so most investors invest in covered call strategies for the income, but there's also the hedged equity aspect where investors might want to participate in market upside but not capture the full downside, and that's the hedged equity component. And at Madison Investments, we use a participate and protect investment philosophy where we try to go up a little bit in up markets and protect in down markets. And our focus on downside protection is something we put a key emphasis on. And we're able to do this by -- we're different than the index. We can be invested in different sectors, and that has started to pay off the past few months.
Kimberly Flynn: Thank you, Drew. I'm going to skip ahead, Lauren to Slide 13. And just talk about how Madison determines the call override and the degree of coverage in the portfolio. So as of the end of the year, the portfolio was roughly 87% covered by call options. And Ray, what's typical? How does this range? And how do you think investors should think about coverage throughout the year?
Ray Di Bernardo: I think this is one way where we're a little differentiated from many of the other closed-end funds that run a covered call strategy, where we are a true covered call fund. If we're talking about maybe being -- having a neutral view of the market, we're still going to be probably 75% to 80% covered. And that's kind of our baseline to always be significantly covered because that's what we're supposed to be doing. We're supposed to be writing options on underlying companies, and we're supposed to be generating income. So that's -- those are the key objectives of the fund. So the fact that we're at 87% at the end of the year, and we have been in the high 80s for most of 2025 was that we just felt we needed to be more defensive because we were concerned about where the equity markets were going, valuation perspectives. We're having a harder time finding attractive investment ideas at reasonable prices, and that makes us get more defensive. So when we want to get more defensive, we get somewhat more covered. Now in terms of being an active manager, the number doesn't mean as much. 87% doesn't mean as much as how close to the money the options are. So we can get more defensive by being closer to the money rather than being further out of the money. So conceptually, we could be 100% covered, but if we're 10% or 15% out of the money, it doesn't provide much of a hedge because you're not generating very much income. But if you're very, very tight to the money, you can get a much bigger premium and that determines how big the hedge is. So we really run the fund and the portfolio structure based on a delta-adjusted hedging number, which takes into effect how each option is -- fits into how far out of the money it is or what the delta of each option is. That's really more critical to us than the actual 87% number. But by and large, the bigger that number is, the more we're covered and the more defensive we want to be underlying that, it means that we're closer to the money and getting much more of a hedge. So that's typically where we are when we want to be defensive. If we want to get a little bit more aggressive, we may be down to 70% to 75% covered, but we're still going to be the vast majority covered because it is a covered call strategy. Other funds out there may go down to 50% or even lower coverage. And in that case, you're getting really an equity fund with a partial hedge to it. And whereas we're always going to be leaning towards being more fully covered and a more traditional covered call strategy.
Kimberly Flynn: Thanks, Ray. Let's move to Slide 14, just to talk about how MCN compares to its competitors in the secondary market. I also want to take a moment if you -- to remind the audience, if you do have the Q&A bar at the bottom of your screen to type in questions for Ray or Drew. So for much of the 3-year history for MCN, the fund had traded at a premium. We did see MCN move to a discount in 2025, and MCN's discount is about 7.26% as of the end of December, and that compares to its competitors. It's slightly wider than its competitors at 6.27%. For the prior 3 years, MCN had traded much tighter than its competitor set. The broader listed closed-end fund market, frankly, had tight -- discounts had tightened up. So as of the end of the year, it was a negative 4.88%. So for covered call buyers, it is a moment in time where the covered call funds are trading at larger discounts than they typically do. So it might be an opportunity to evaluate MCN or some of the other covered call listed closed-end funds in the secondary market. I know that at XA Investments, we're focused on bringing you insights from the Madison team. We do regular quarterly webinars. As I mentioned at the start of this call, we did just recently publish a new white paper to help educate new investors on the benefits of covered call investing, and it talks about a lot of the things that Ray and Drew mentioned on today's call. So we're going to continue to support MCN in the secondary market. If you do have any questions for the XA Investments team or the Madison team, please let us know, and we'll be prompt in following up. So if you have questions, type them into the tool bar. I've got a couple more for Ray and then we'll close out the webinar. So next slide, Slide 15, just looks at the secondary volume in terms of -- or excuse me, 16. In the last 30 days, we have seen average daily trading volumes higher than the prior 12 months. Is it usual, Ray, to see this kind of trading activity in listed closed-end funds in terms of volume spiking at the end of the year?
Ray Di Bernardo: I'm not so sure it's a calendar-based issue more than it is a psychology shift in the market. You noted that our discount widened somewhat throughout 2025. Typically, that happens when markets are going straight up and not as many people are looking for a hedged equity type of vehicle. The income base is always going to be there. But when the markets are going up 17%, 18%, 20% a year, people want to participate more in that. So the demand for a hedged equity vehicle just isn't as great. And I would suspect that's the reason why volume is typically low during those periods. But when you see more of a shift in investor psychology, where, as I noted earlier, that leadership is changing in the market, more defensive sectors are starting to outperform, people start looking more and more toward, well, how do I protect capital in a more volatile environment. And I think that has more of an impact on the volume increasing in the fourth quarter and most recently this year because we're seeing the environment shift where I think more investors are looking to get more protective than just follow along in an upward trending market. So I think that's kind of -- I would guess is more of a reason for the volume moving higher recently.
Kimberly Flynn: And Ray, to start today's webinar, you mentioned that the strategy is off to a strong start in January and February. Could you talk a little bit more about why that is the case? And what is the outlook for 2026?
Ray Di Bernardo: Yes. As I noted, the drivers in the last 2 or 3 years have really been very narrowly focused among mega cap growth stocks, particularly anything that's AI related. And we're seeing a shift. And the shift in AI, just really briefly, it started out being all about NVIDIA. And NVIDIA provides the guts of the machines to drive the processing power for all of the data centers. So it was NVIDIA that really was the stock that led the way. And then it was followed up by all of the money that was being spent in capital expenditures by the data center companies, Amazon, Microsoft, Google spending hundreds of billions of dollars and the impact that, that could have on the economy. And things just got ahead of itself. And I think that's some of the shakiness that we've seen in the market in the fourth quarter. Now this year, what we're seeing is the next layer of that. And we're starting to see a transition into what are some of the potential disruptive factors that AI will bring to other sectors of the economy. And most recently, we've seen big downdrafts in the software area. So Software-as-a-Service companies like Adobe, for example, the thinking is that they provide creative software for many industries, and there may be less need for that software if you can just click a few buttons and use AI to generate that. I think it's really very much a simplistic view and a lot of these companies are already adapting to the new generation of AI. Another sector, for example, most recently in the last few weeks has been the insurance brokerage sector, where why do you need an insurance broker if you can just go to AI and have them give you the best rates. So you're seeing all of this disruption, very similar to what Amazon did to the traditional bricks-and-mortar retail sector years ago. And then every once in a while, when they started moving into the drugstore area with their online pharmacy, all of a sudden, when there was a headline in The Wall Street Journal, you'd see CVS and Walgreens just get hammered for a week or so, and then they would bounce back because it was kind of more hype and less focused analysis. So we're starting to see that next phase hitting the market here and where are we going to see more disruption that AI is going to impact other industries rather than just focusing on NVIDIA, the chips and the data centers. So that transition is causing a lot of turmoil, and that's why we've seen volatility pick up. And as a result, we've seen more focus on areas that are not going to be as impacted. The energy sector. AI is not going to drill for oil or gas. It will help the industry be more efficient, but it's not going to compete. The same thing with the materials sector. Same thing with the consumer staples sector. Procter & Gamble makes soap products. AI is not going to make soap. It's going to help the company become more profitable, but it's not going to be able to replace a Procter & Gamble. So those are the areas that seem to be benefiting now because of this turmoil and then the more Magnificent 7 or AI-related sectors are really lagging. Technology is down 6% this year. Consumer discretionary area is down. Communication services is down, and then energy is up 22%, material is up 16%. So you've seen this massive shift and that kind of volatility and turmoil creates opportunities for us. We've certainly been more focused in our sector allocating toward those sectors. And that, I think, is benefiting the fund significantly. I think we're outperforming the S&P this year by 3.5% to 4%. So it's been a very good start to the year. The other thing that's been worrying us just very quickly was markets were very, very expensive. And a chart that I like to show folks is that going back to the late 1990s, whenever the market has gotten above 22x forward earnings in terms of a valuation metric, it stays there for a very short period of time. It got there in the late 1990s in the tech telecom boom and then collapsed. Got there again in the COVID 2020 time frame, really because earnings disappeared. So it wasn't really a market driven. It was more of the economy -- global economy shut down. And then most recently, it's gotten back above that level. And we just think that the market doesn't stay there for very long and has to revalue downward. Now that doesn't mean that we need a recession. It doesn't mean we need things to collapse. Just like 2022 when the market or the economy did just fine, the market fell 25% from the beginning of the year through October because the PE multiple contracted. And we feel that this is kind of a similar environment to that. The economy can continue to do well. In fact, the market seems to be discounting a lot of really positive things but it's just gotten too expensive. So the combination of an expensive market and then concerns about AI really disrupting certain industries is causing the turmoil that I think is -- potentially could have those multiples contract somewhat as we go through the rest of the year. So we're going to remain defensive. We think that's the right thing to do. We were probably a little early getting there last year, but I think it's going to start paying off in 2026.
Kimberly Flynn: Well, thank you, Ray. I think if there's any recent college graduates or parents of recent graduates, I think there's a reason for hope in terms of potentially the job market. I think my takeaway is that AI is not going to drill for oil and AI is not going to make soap. I think it's a good reminder of there's a lot of value and benefit of AI, but I think the potential impact may have been -- or the anticipated benefits of AI may have sort of run ahead of itself. So appreciate your approach, Ray, to managing MCN. And thank you so much for your comments. Thank you, Drew, for joining. We do not have any further questions from the audience. But if folks want to get in touch, please e-mail me directly, kflynn@xainvestments.com, or go to our website for more information on MCN. Thank you so much for joining us today.